Ben Schwarz: Well, thank you all for joining us today. So, I'll quickly run through our agenda for the next hour. We will begin the call with some remarks from Fusion Fuel's Chairman, Jeffrey Schwarz, followed by an overview of Fusion Fuel at a glance; our management team will then present first quarter highlights, financial results, project and commercial updates and the latest on our HEVO-Chain technology, wrap it -- before wrapping up with a discussion of our priorities and milestones for 2023; we'll then open up the floor for a half hour or so of facilitated Q&A. As always, like the previous quarterly calls, questions can be answered in the chat box in the webcast platform at any point. Alternatively, you could also submit your questions to me at the investor relations mailbox at ir@fusion-fuel.eu. So, without further ado, I'll pass it over to Jeffrey Schwarz, Chairman of Fusion Fuel for some opening remarks.
Jeffrey Schwarz: Thanks, Ben, and hello. As Ben said, I'm Jeffrey Schwarz, Chairman of Fusion Fuel Green PLC, and I'm happy to be able to add my welcome to today's investor update. These have been exciting times at Fusion. In recent months, we've begun the commissioning of our inaugural third-party project for Exolum in Madrid; firmly planted our flag in another country with a recent awarding of a grant for a mobility project in Italy, a project that will employ the newest addition to the Fusion product line, our HEVO-Chain; we've signed a contract with CSIC for the installation of the HEVO-Solar solution, we'll be using the newest generation, HEVO 2023, for this project, which we expect to complete by year-end; we signed a collaboration agreement with Toyota Material Handling España, providing for a holistic customer solution, combining Toyota's market-leading hydrogen fuel cell forklifts and our HEVO green hydrogen production technology. And just last week, if you had been in Benavente, Portugal, you would have seen the first of those [indiscernible] generation HEVOs coming off the production line. You'll hear detail about all these and more in the hour ahead. I'm proud of these accomplishments. But the real reason I have joined the call today is to be able to introduce Frederico Figueira de Chaves. Those of you who have followed Fusion already know Frederico. But it is my pleasure and honor to introduce him today as Fusion's first Chief Executive Officer. The organizational changes announced this morning, and in particular, Frederico's elevation to CEO, is the culmination of a process initiated by the Board of Directors 15 months ago with a goal of putting in place the team and the organizational structure that we believed would best position the company to grow to achieve our shared vision of making Fusion a leading player in the fast-growing renewable hydrogen ecosystem. Since assuming the role of company Co-Head, Frederico has worked tirelessly to build the culture that values teamwork and accountability. He has earned the trust and respect of everyone in the organization, from the factory floor, at the executive committee, and in the Board room. That is why the Board unanimously chose to appoint him as Chief Executive Officer. With that, I turn the call back over to Ben, Gavin, and Frederico to take you through the first quarter update.
Ben Schwarz: Great. Thanks very much. So, I'll kick things off with an overview of our value proposition and positioning in the green hydrogen sector. So, Fusion Fuel's mission is to make the energy transition more accessible to the development and delivery of cost effective, clean hydrogen solutions. Our patented miniaturized PEM electrolyzer, the HEVO, is at the heart of everything we do. It's simplified, modular architecture unlocks a number of advantages, including a throughput industrialized production, a scalable building block approach that positions us to create customized fit-for-purpose hydrogen solutions, and cost competitive distributed or decentralized production of hydrogen mitigating the need for a distribution infrastructure, which is a costly and critical bottleneck in the market today. We built a strong pipeline of actionable near-term projects in our core markets of Southern Europe and the United States with significant grant funding tied to many of those foundational projects strengthening the economics and derisking the investment case. Our unique and complementary business model position us across the value chain. In addition to selling our proprietary electrolyzer solutions to third-party customers, we also originate and develop green hydrogen projects with diverse avenues for monetizing value creation. And, finally, we are poised and positioned for significant growth ramp as the market matures with an extensive long-term project pipeline in a world-class production facility located in Portugal where we're targeting 500 megawatts of electrolysis capacity per annum by the end of 2025. So, with that, I'll now introduce Gavin Jones, newly appointed Interim CFO of Fusion Fuel. Gavin has been with the company since 2021 in the role of Chief Accounting officer. Prior to that, he spent over -- well over a decade at KPMG in Ireland. So, it's my great pleasure to welcome Gavin into his new role and to invite him to share some highlights from the first quarter of 2023.
Gavin Jones: Thank you, Ben. Good afternoon, or good morning, to all of you who have joined our Q1 investor update call. I'm really pleased that my first act as Interim CFO is to present our financial highlights for the three month period ended March 31. Some of the key highlights include: entering two hydrogen purchase agreements with Dourogás and Hydrogen Ventures; issuing invoices to three external clients; also, as Jeffrey mentioned, we commenced the commissioning phase at Exolum; we signed a technology sales agreement with CSIC; and awarded grant funding towards a mobility project in Italy; also, in the spirit of sustainability and corporate governance, today also marks the launch of our first ESG report, headlining targets and ambitions for ourselves in the ESG space. We want to move to the next slide, please. We reached an important milestone during this quarter as we recognized our first third-party revenues. This revenue resulted from a technology sale for the supply and installation of 62 HEVO-Solar units that we previously announced. Our cost base reduced when compared to Q4 2022 with notable reductions relating to onerous contract provisions, inventory scrappage costs, professional service and consulting fees. These reductions were somewhat offset by a €1.4 million charge relating to a production line that was scheduled to be installed at our Benavente production facility during 2023. As this production line will no longer be installed as planned, it did not meet the capitalization requirements and was expensed. In line with previous quarters, we continue to recognize non-cash expenses for the awards under our equity incentive plan and fair value gains for our warrants that are mark to market instruments. These items culminated in a net loss of €2.6 million. Can we move to -- perfect. During the quarter, we continue to invest in our core assets. Notably, our Benavente production facility internally generated hydrogen production plants, our HEVO technology development assets and our inventory. Any increases in these assets were offset by depreciation and amortization charges. As a consequence of recognizing our first revenues, we also recognized trade receivables. And the amount shown on this slide has -- was received subsequent to the quarter-end. As I previously noted, we've also issued further invoices to other clients during quarter two. Our VAT receivable balance increased by €0.6 million during the quarter. In quarter two-to-date, we received €3.2 million of the amounts outstanding at March 31. To continue the trends of firsts, we entered into our first debt facility during the quarter and drew down €2 million. This facility, which is with a Portuguese financial institution, is short term in nature, and its purpose is to free up some of the significant receivables we have with the Portuguese government. This €2 million has already been repaid during the second quarter as VAT amounts were received. The deferred income balance increased by €3.1 million as we received further installments from our C-5 grant award and amends from customers that did not yet meet the requirements for revenue recognition. Next slide, please. We sold ordinary shares through our ATM facility, which raised net proceeds of €2.4 million. Our share-based compensation reserve also increased as we issued -- as we granted RSUs to our employees and options to our non-executive directors. We have been really successful at both securing direct grant awards and supporting partners in their submissions that would use our technology. This is an activity that we intend to continue, and we are already working on numerous proposals both in Spain and Portugal for the next wave of grants. Now, I will pass you to Frederico, who will provide an update on the business.
Frederico Figueira de Chaves: Great. Thank you very much, Gavin, and thank you for taking on the role of CFO from me as well. And also thank you, Jeffrey, for the kind words at the beginning. So, I will cover both technology and commercial activities in my update, starting with an update on our projects and pipeline. So, we currently have just over 25 projects in our short- to mid-term pipeline. The majority coming from Spain, where we are currently commissioning -- in the commissioning process of our Exolum project, our first project to go live in Spain. We're already actively advancing our HEVO-Chain offering for delivery as early as this year already. Most notably, we've already received a grant award for a project in Italy using this technology, only a few months after launching it. The United States continues to be a market with significant strategic importance for us. Zach and Jason launched our activities in this market last year with the Bakersfield project, and have more recently brought two other opportunities in North America to the portfolio. We aim to continue to develop opportunities in this market with them in the future and to enter into technology partnerships with them. Our focus is to mature our pipeline into projects in execution and contracted, something we have finally been able to make some progress given the licensing or regulatory hurdles. As Gavin noted, we posted our first revenues in the Q1. In Q2, we've invoiced two other clients, and we're now picking up momentum on the more traditional activities from our business development front. So, we expect that to continue as these 25 to 27 or so projects mature. I also want to take this opportunity to introduce an exciting concept we've been working on together with our Fusion Fuel Spain partners. Fusion Fuel Spain, together with two leading European energy companies, along with Toyota Material Handling, have created a holistic solution for hydrogen mobility for logistics centers. The partnership provides best-in-class hydrogen vehicles, our highly competitive electrolyzer solution, and therefore [levelized cost of hydrogen] (ph), renewable energy sourcing and fleet financing options. So it's a true holistic solution for logistic centers. We can offer competitive green hydrogen and mobility as-a-service options to logistic companies in the region. The Zaragoza hub is expected to be deployed in various stages, matching demand growth and hydrogen fleet deployment. In fact, the CSIC project, which we're now executing, so our second project in Spain which we're already executing on now, serves as the first concrete step in the execution of this particular hub. We find this a truly highly interesting concept and partnership, and we aim to replicate it for other logistic areas across Iberia. So, although this is just a concept example, this is one of several logistic hubs we want to be targeting We see logistic as a core market for the green hydrogen world and a market where you traditionally can have captive fleets and fast deployment. On the technology front, I want to also note that some pride that we have actually last week started a production of Gen 4 HEVO, which I have here in front of me. This is a substantial progress in our HEVO evolution. It is eight times more powerful than this one that I have in front of me that is the first one used in our Evora project. So, we have significant reduction in complexity, and therefore also unit costs, and it showcases the speed of the innovation that's taking place at Fusion Fuel. The HEVO continues to benefit from cheaper power equipment in the overall balance of system, lower operational and maintenance costs and simpler maintenance processes than others sort of launch that solutions, reduce system losses, lower production costs, and it's designed for modular and scalable deployment. We're already integrating this generation to our ongoing projects, starting with the CSIC project, so that is a HEVO-Solar project, but it will already be taking this latest generation of HEVO. The HEVO-Chain will also be built around this core new HEVO. Speaking on HEVO-Chain, I want to introduce the overall concept of this product line. So, once again, the new HEVO lies at the heart of the HEVO-Chain offering. Our centralized electrolyzer offering has two product types: the previously announced containerized solution, which ranges from 1 to 2.5 megawatt option depending on the size of the container, which will enter commercial production in 2024, this was what we announced in December, and you see that on the right hand side; but also on non-containerized solution. Still operating with a HEVO at its core, together in a string and together in a tailored system that can be deployed for any project size. We plan commercial production and deployment of this series already in 2023. I want to highlight some of our 2023 strategic priorities a little bit different than the general business milestone that we had going on. So, now with the HEVO-Chain offering, the Northern European market becomes a potential addressable market for us. The electrolyzer market in Northern Europe has been moving quickly. And although Southern Europe benefits from very cheap and readily available renewable power, the Northern Europe market -- European market has been moving faster in terms of actually deploying electrolyzers. With our HEVO-Chain offering, we now will have a highly competitive solution where we can enter this market, and we plan to do so already this year. Also, we want to strengthen our balance sheet and our capital position. Our strong tech offering and robust pipeline enable us to target being cash flow self-sufficient at some point in the second half of 2024. We continue to explore all options to ensure we have a balance sheet that allows us to execute on our strategy. On point three, as previously mentioned, we'll continue to evolve the HEVO-Chain offering to be able to be deployed on the large scale projects that we're engaged in, in particular, the non-containerized version, sorry, that I mentioned previously. As we're a young company in a fast-growing industry, it's critical to ensure we maintain a strong corporate culture around operating as a team, executing quickly and ensuring robust processes. This is a core element of our governance purpose in our first ESG report that we also published today. We've been successful by being nimble and quick and now we need to safeguard these elements as we grow and mature as a company. Lastly, I'll note the focus that we're undergoing on ensuring we can pursue strategic partnerships. Across the industry, we see exciting opportunities, be they in the development, funding, technology, or even production space. We'll continue to explore these to strategically add value to our proposition where we can. Already, our Fusion Fuel Spain, our Toshiba on the membrane, our Toyota on the handling side partnerships are just some examples of our efforts to make sure that we bring in and partner with strong propositions to add to our offering. Lastly, I want to, as we always do, just finish up on tackling our key milestones for 2023 and our progress against them. With a new more powerful HEVO, we are well underway to have an expanded production capacity at minimal additional cost. As I mentioned before, this HEVO now in front of me is eight times more powerful than the one before. Yes, it doesn't take eight times the time to make it. So we are able to produce a lot more electrolyzer capacity now with this offering, which is helping, of course, our production capacity. The HEVO-Chain non-containerized unit will be ready for deployment in the coming weeks. So that will be ready to finalize -- as we finalize it for trials and ready for deployment. We continue to execute on our contracts. Obviously, the recognizing revenues being able to issue invoices and receive payments from clients has been a major milestone in that front. We have two launch projects that we are currently in contract negotiation for deployments later in this year. And we also continue to see a wave of interest and projects coming to our commercial team for even full deployment as early as this year. Now, on the project development side, licenses and regulatory frameworks continue to be a major bottleneck in some situations, but we do see some progress in Spain in particular. Portugal has progressed slower than we had hoped, but we have started several of these projects several years ago. So, we are now hoping that they are reaching levels of maturity where we can start deploying some of those larger projects that you've heard from us for a while now. We're on the cusp of hydrogen deployment in a very large scale in Europe. The urgency and appetite for projects has never been greater, and we're finally seeing governments not only making promises or announcing ambitions, but finally actually taking action. Examples of these are both the Portuguese and the European hydrogen banks, hydrogen auctions going live later this year; it's about to start a change and step up in the industry overall. I'm thrilled to have the opportunity to work with my Fusion colleagues, to play a leading and powerful role in this hydrogen market. So, I thank you all for your time, and I'll pass back to Ben, so we can go through the Q&A.
A - Ben Schwarz: Thank you, Frederico. Just as a reminder for those of you who have questions, you can submit them in the chat box in the webcast platform or direct them to the IR mailbox at ir@fusion-fuel.eu. So, let's open things up with the handful of questions that I received via email from Chris Tsung at Webber Research. His first question is around Bakersfield here in the U.S. and the JV with the Electus, commenting on the latest information that provided in the 20-F filing. So, just an update there, and perhaps also commentary on how the JV is structured and the prospective roles of Fusion Fuel on Electus Energy.
Frederico Figueira de Chaves: Thanks, Ben. I'll take that one. So, we continue to work with Electus Energy. The details of the partnership, so we can't disclose at this time. It's still too early for that stage. But as noted, we did engage with Black & Veatch to start feasibility study of the project, and now the development work on that continues. Given its location in California, it does require a sort of lengthy licensing time process which has started, but we will expect to continue to make progress, although it will be likely still some fair amount of time before we're able to give meaningful updates on that side. I will note that, that is a very large project. As we announced, it was about 75 megawatts in terms of electrolyzer size. We do, and as I mentioned before, Zach and Jason created two new opportunities in the U.S. for earlier -- sorry, in North America for earlier deployment and in the slightly smaller scale in which we could tackle faster. So, we hope to be able to be announcing further details of those projects soon. It's important for us to note that the U.S. market continues to be a priority for Fusion Fuel.
Ben Schwarz: Thanks, Federico. Second question was, how are we tracking against our full year 2023 guidance?
Gavin Jones: I'll take this one, Ben. So, I think during the Q4 investor update, Federico presented our full guidance for 2023 and 2022, and we are currently tracking positively towards those projections, especially when it comes to revenue and costs. So, I think even previous to Q4, Federico would have provided guidance of between maybe €4 million and €4.5 million for operating cost per quarter. Excluding that one-off charge, which I mentioned during my slides, we were within that focus. And with cost reduction plans that we put in place and cost efficiencies, we expect us to reduce further as we continue on in the year. So, to answer your question, Ben, yes, we were still within the parameters of the guidance we provided previously.
Ben Schwarz: Thanks, Gavin. Sticking with you, can you -- as a question on capital planning and strategy, can you walk us through how we plan to fund our CapEx requirements through this year and beyond?
Gavin Jones: No problem. So, I think as Frederico mentioned most recently, we're currently looking into and investigating various capital areas where we can strengthen our balance sheet, multiple discussions with financial institutions based here in Europe and wider. As I mentioned as well, at the outset, we've invoiced three external clients so far in 2023. We want to continue that momentum as we push into the latter stages of Q2 and into Q3. And again, as I mentioned, we entered into a hydrogen purchase agreement as well with Dourogás and Hydrogen Ventures. So, we would look to use any inflows from those contracts to continue our CapEx, but it will be through a capital raising means as those discussions reach conclusion.
Ben Schwarz: Thanks, Gavin. Sorry. Go ahead, Frederico.
Frederico Figueira de Chaves: I also want to add around the -- just clarity around the CapEx needs that might be associated with projects. So, we do -- anyone who's been following us for a while, we do the development of a number of projects ourselves. However, the total investment value for those projects is significant in the triple-digit millions, to say. We've noted this before, but just to clarify again, we intend to have financial partners for those projects. So those projects in the SPVs are to be owned by a financial investor, which takes on that CapEx responsibility. We create the opportunity and we intend to deploy our technology into it, but funding those projects through to completion is not in our short-term capital plan.
Gavin Jones: And then just one piece if I may as well that I forgot to mention was the grant inflows, which we've now started recognizing or receiving over the last four or five months alone. Some of the awards that we've received over the last 18 months have actually been provided and paid out. So, again, we hope that, that's a positive trend and will continue during 2023 and '24.
Ben Schwarz: Thanks, Gavin. Just sticking with -- I'm going out of order a little bit, sticking with that point around grants. So question here around, should we expect continued delays in grants being paid out? And do we expect this to lead to any liquidity challenges or project delays down the road?
Frederico Figueira de Chaves: So, I'll take that. I think what we have noted is that grants payments can be unpredictable. It's not necessarily always delays. We have seen them sometimes taking nearly a year to get paid and other times being as quick as one week. So, what we are looking to do is to partner with some commercial banks since I want to take the uncertainty of that timing of the payment away from us, so that we can proceed and operate in a more sort of normalized function. Of course, if that's not possible, that could delay projects, could delay activities. Otherwise, we'll note once again that we are not looking to take on the investment risk of the projects ourselves to sell them on to the third party. So, depending on the capital position of that third party, they will have to decide how they want to take that timing risk themselves.
Ben Schwarz: Great. This question here from Amit Dayal at H.C. Wainwright. There's a question around maintaining our outlook for 2023 and 2024. We already covered, I think, 2023 and said, yes, we're confident with that guidance. Preliminary 2024 outlook, has that changed since our 4Q '22 call?
Frederico Figueira de Chaves: Yes, we maintain the same guidance. Again, the some of these projects can be chunky, as noted, so obviously, the timing of when those start and the deployment can impact those targets. With the information we have available, those continues to be our ambitions and targets.
Ben Schwarz: Great. Sticking with analysts here, question from Erwan Kerouredan at Royal Bank of Canada. In light of the leadership changes announced this morning, how should we be thinking about the Americas? Should we expect the appointment of a Head of Americas reporting to Frederico anytime soon?
Frederico Figueira de Chaves: So, this is still to be determined. As noted, Americas continues to be a strategic priority for us. We do still expect some time to be working with Zach and Jason on developing some projects in the United States and North America in the future. And as also noted on strategic partnerships, naturally strategic partnerships to cover the American market is obviously a question that's going through our mind. It's still early days. It's still something that we are working on, but the likely scenario is that there will be multiple solutions for such a large and principal market for us.
Ben Schwarz: Thanks, Frederico. I'll pass over to Gavin for this next question. Do we expect the current rate of dilution both through sales of securities through the ATM and the award of options to be -- to continue to be steady at these levels for the foreseeable future? What would it take for this pace to increase or decrease?
Gavin Jones: Thanks, Ben. I think if not steady, definitely reduced. So, if we think about the options in RSUs, these were predominantly -- are predominantly issued to retain key employees and also attract new hires. As those who have followed us in the past, we've grown our headcount from very small amounts to 150, 160 people. So, we don't expect to be granting too many more options or issues in the near future. On the ATM, we have not sold any amounts under the ATM facility in Q2 to date. But, again, without repeating myself again, we're looking at various ways of strengthening our capital position. And, obviously, if we're successful in one of those, that will obviously reduce the dilution from any future ATM sales as well.
Ben Schwarz: Thanks, Gavin. I think this one is about a more strategic question perhaps for Frederico. Question around why the development and evolution of the green hydrogen economy is taking so long? What do you see as the primary challenges and obstacles? And what changes needed in order to address that and build some momentum in the competitive space?
Frederico Figueira de Chaves: So, thanks, Ben. So, naturally, the first point to note is that how hydrogen has been used historically has been in very -- should we say, chemical processes that are truly commoditized. These are activities with low margin, and they're very sensitive to increases in cost. Green hydrogen, blue hydrogen or clean hydrogen, let's call it, still operates as a premium to grade. And therefore, it takes time to be able to replace the grade used for traditional activities. What we've seen is, obviously, the support from governments to come to support the green premium in these early stages of the market, and we're seeing, of course, new uses for hydrogen, such as mobility, which can justify a higher cost of hydrogen. The regulatory environment, licensing environment, and as well as demand have all been slowly working together to start framing a world where green hydrogen is truly economically viable in sort of large scale use. I think with the IRA, now with the latest European activities, that starts to truly be the case. And that's why we're seeing such a rapid ramp up in interest in green hydrogen activity in both markets. So, we are -- I think the world was sort of waiting for something to move. The U.S. was the catalysts to get everyone else moving. And now we're seeing that sort of dynamic in the market that we haven't seen before.
Ben Schwarz: Thanks, Frederico. I would also mention, if I can get up on my soapbox for just a moment, I think that there is a -- and I talked about this before, a dislocation between what's being announced and what's drawing a lot of attention in the market, which are really large multibillion dollar mega projects, and what's actually being developed in the field, which are predominantly kind of projects in small- to mid-scale space that have a much more modest capital requirement. We are pretty well positioned given our unique competitive advantage by virtue of our technology in that small- and mid-scale space while the rest of the industry and, more importantly, while the rest of the value chain, particularly on the infrastructure side, scales up to support more widespread adoption of green hydrogen. Question here around the HEVO-Chain, and a request to clarify the benefits and, I guess, importantly, the differences between the two solutions. Can you speak to benefits of each and where they would be [more significant] (ph)?
Frederico Figueira de Chaves: So, the HEVO-Chain, again, we'll start with the advantages of using our sort of smaller modular solution. Any product using the HEVO will benefit from these advantages, namely the fact that it's modular allows for relatively easy operating maintenance as opposed to having to send a full stack back if there's an issue, or having to shut down an entire plant, if there's an issue or something needs to be repaired, we can simply take out the offending draw, cube, or unit, and the rest of the plant can operate -- it can continue operating as normal. We also -- each membrane in each unit operates independently even though they are on a string, which means that any mismatched losses in the system are actually only at the individual HEVO level and not on the full system level, so we have much little losses from the system. So these are the some of the large scale advantages of the HEVO itself. The HEVO-Chain, so those who just takes advantage of those is able to then have a much cheaper power system, because the HEVO require a lot less power to -- or amps, I should say, current to go through them, and this reduces the overall cost of the HEVO-Chain. Both HEVO-Chain units, the containerized and the non-containerized version, can be scaled. For example, we do not need to fill the container all in one go. So, they can be scaled and they can be ramped up in phases as client needs. So, we do have projects where they have a phase 1 and phase 2. So, one in containerized solution, which is half megawatts, and then a second half megawatts to be complemented as the -- in this case, for mobility as the fleet is deployed. But the HEVO-Chain containerized has its full system included, has the water system, power electronic system included. Now, if you have a large system, you would be then replicating these power and water systems, whereas in the non-containerized version, you're able to tailor it to the size, and that's the advantage of the non-containerized versus the containerized. They have the different use cases and both, I'd say, very competitive in their markets.
Ben Schwarz: Yes. Thanks, Frederico. A comment here around technology sales, and what's that process? What that sales cycle looks like? And how those contracts tend to be structured? Is payment done upfront? Is it an after delivery? Is it [indiscernible] fashion?
Frederico Figueira de Chaves: Yes. Let's call it each negotiation is its own world. But in general, the approach that we're taking is that there is a certain amount of upfront payment. This allows us to invest in the working capital to buy more materials, buy items needed for the production of that item. And then, certain milestones could be -- certain amounts delivered at certain stage of the production phase or so on, there are subsequent payments. There is a remainder withheld until the end, which is only paid after successful commissioning and acceptance of the unit. So, the payment is phased, and it is designed in a way to ease the working capital required for that production.
Ben Schwarz: Thanks, Frederico. Question here around the efficiency of HEVO 2023, and then how many kilowatt hours is required to produce a kilogram of hydrogen? I'm going to say that it's not unchanged relative to prior versions, and that -- but it's important to know the distinction between the efficiency at the stack level versus the system level. But Frederico, I'll let you chime in on that.
Frederico Figueira de Chaves: Yes, that's right. So, efficiency at the stack level, it continues to be the same and extremely attractive. The exact decimal account number, but it's in the 47-dot-something that's [indiscernible] on the stack level. And then, the full system level, it's around 52 kilowatt hours per kilo. These are highly competitive numbers for an electrolyzer system. And, again, we've been able to maintain those numbers as we're advancing the people and making it more powerful. And by more powerful, we mean more electrochemical cell, real estate or space, and therefore, sort of higher hydrogen production with a sort of same unit and the same overall [indiscernible].
Ben Schwarz: Great. Thanks, Frederico. So I think we've reached the end of the Q&A session with plenty of time to spare. Unless there any further questions or unless Frederico or Gavin you have some final thoughts you want to share? If not, then we can, kind of, wrap it up here. So, a big thank you to everyone who's joined. If you do -- if any questions come up or you felt your question was not answered sufficiently, please do reach out to me and the IR team at ir@fusion-fuel.eu. And we will look forward to seeing you again at our next update.
Frederico Figueira de Chaves: Great. Thank you.